Operator: Good day, and welcome to the Blackbaud Q3 2019 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mark Furlong. Please go ahead, sir.
Mark Furlong: Good morning, everyone. Thanks for joining us on Blackbaud's third quarter 2019 earnings call. Today, we will review our financial and operational results and provide commentary on our performance in the context of our four-point growth strategy. Joining me on the call today are Mike Gianoni, Blackbaud's President and CEO; and Tony Boor, Blackbaud's Executive Vice President and CFO. Mike and Tony will make prepared comments and then we will open up the line for your questions. Please note that our comments today contain forward-looking statements subject to risks and uncertainties that could cause actual results to differ materially from those projected. Please refer to our most recent Form 10-K and other SEC filings for more information on those risks. We believe that a combination of both GAAP and non-GAAP measures are more representative of how we internally measure our business. Unless otherwise specified, we will refer only to non-GAAP financial measures on this call. Please note that non-GAAP financial measures should not be considered in isolation from or as a substitution for GAAP measures. A reconciliation of GAAP and non-GAAP results is available in the press release we issued last night and a more detailed supplemental schedule is available in our presentation on our Investor Relations website. Before I turn the call over to Mike, I'll briefly cover our upcoming investor engagement activity, which is available on our Investor Relations website. During the fourth quarter, our team will be attending Morningstar’s Management Behind the Moat Conference in Chicago, Stifel’s Midwest One-on-One Growth Conference in Chicago, Credit Suisse’s 23rd Annual Technology Conference in Phoenix, NASDAQ’s Investor Conference in London, and Raymond James Technology Conference in New York. We will also be holding meetings with investors in Boston, New York, and the Ohio Valley. With that, I'll turn the call over to Mike.
Mike Gianoni: Thanks Mark. Good morning, everyone and thanks for joining our call today. We continue to gain momentum in our aim to drive digital transformation across the social good community in all the markets that we serve. As many of you know, we held our Annual Conference bbcon earlier this month. It's clear that the progress we've made is having a major impact on the individuals that use our solutions every day. We had a packed agenda and introduced more than 80 products and innovation updates to over 3,000 attendees who joined us in Nashville; making it the most well attended bbcon to-date.  There's no question our customers and prospective customers are excited about the pace of innovation being driven by Blackbaud and our partner ecosystem, which was evident by the overwhelming positive audience reaction to the long list of main stage announcements and the constant flow of attendees in our innovation Expo Hall in over 300 breakout sessions. We are uniquely positioned to enable the digital transformation within social good organizations through our Cloud software services, expertise, and data intelligence. But our focus on this industry extends beyond our cloud software technology and solutions. We have a culture built on an unmatched commitment empowering social good, and that includes our participation in this ecosystem. In fact, 89% of Blackbaud employees have volunteered in the past year. Employees participate in Blackbaud’s matching gift program at over two times the national median and one-in-four employees serves on a non-profit board or committee. And we're incredibly proud to be named as a leader on that AnitaB.org’s 2019 Top Companies for Women Technologists for the second consecutive year. Just last week, we released our second Annual Corporate Social Responsibility Report, highlighting our environmental, social, and governance accomplishments in the past year as we continue to think critically about our responsibilities as a technology provider, employer, public company, environmental steward, and a member of the global community. For example, as the owner of the industry's largest data set, we were an early adopter of industry-leading cyber security and data privacy standards. Blackbaud’s cyber security team reflects 400 years of combined experience, including service in key government offices and Fortune 500 companies. This year, we launched the consumer privacy Center of Excellence, a collective of subject matter experts from different departments, all trained in privacy and how to access data users within their respective departments. Lastly, social good is at the heart of who we are as a company, and employer in a brand. As usual, Tony will provide more detail on our results. And I'll provide an update in the context of our four-point growth strategy. The first of our four growth strategies is delight customers with innovative cloud solutions. We made a slight modification to the strategy to highlight our relentless focus on driving value and outcomes for our customers through our solutions. Blackbaud SKY, our platform for innovation is a core tenet of this strategy and continues to power an unprecedented level of innovation by our engineers and enable a growing ecosystem of developers who are also passionate about social good to create amazing new capabilities that often look and feel like Blackbaud built capabilities. For the first time in the history of the company, there are now significantly more outside developers delving on our platform than Blackbaud engineers. In fact, third-party developers have defined over 1,000 Blackbaud SKY applications and nearly two-thirds of these applications have already been enabled by our customers. We're providing the developer community and our partner network with the tools to extend and enhance customers Blackbaud solutions that will then create truly connected officers. For example, staff at St. Leo University are using SKY APIs to run an automated daily integration between our fundraising solution and their student information system. Instead of spending hours entering data to keep their records and think the integration creates new consistent records and appends new degree information to existing records, with a large segment of their non-traditional students graduating all-year round, this integration creates an average of 75 new records per week. So they can now leverage the power of Blackbaud’s Raiser’s Edge NXT to immediately identify the major gift prospects among new graduates, and allow the alumni office to start engaging with them right away. The customers we serve require vertical specific business solutions to automate their operations and we build integrated purpose built cloud solutions that solve these business needs. Among the many product and innovation updates across all of our broker markets, we announced the general availability of Blackbaud Church Management, which is already transforming the Church technology landscape. Within just one year of announcing plans for Blackbaud Church Management, we now serve Churches in more than half of the 50 U.S. states representing congregations of all different sizes, and spanning more than 10 denominations. This pace of innovation is extraordinary in our industry. We built an environment of rapid innovation through a combination of our modern cloud architecture and industry standard methodologies. Our early adopter customers have a significant role in shaping our new solutions. And our Blackbaud SKY platform enables us to rapidly iterate based on their feedback before releasing the solutions to the general market. This culture of innovation led to the general availability of Blackbaud Church Management, and the process is highly repeatable. We're well underway with early adopters, in our higher education vertical, as we extend our proven education management portfolio of market. Our early adopters are excited with one thing and a quote, you look at a number of solutions in addition to Blackbaud, you name it, we looked at it, but our 20-plus year history with Blackbaud and its solutions for higher education held the promise of providing everything we wanted to achieve and more. This brings me to our second growth strategy, which is to drive sales effectiveness. As you know, we have a large market opportunity in expanding across our local markets, and we spent the last several years organizing for scale and laying the foundation for our sales people to be more successful. This year marks an important milestone in that process as the structural transformation and sales is now largely complete, enabling our account executives to focus on leading the total solution selling by vertical, driving more products for customer, higher ASPs, and overall increased customer lifetime value. With the structural changes behind us, our focus is on improving overall sales productivity. This effort extends beyond just the sales organization into areas like marketing where we’re investing in the necessary technology and resources to efficiently drive an increased number of quality leads and better cover our large adjustable margin. Over the last three years, we’ve tripled the number of account executives dedicated to prospect accounts. And these investments are just one way we're equipping our growing sales force to be more effective. I will now turn to our third strategy, which is TAM expansion. Earlier this year, we acquired YourCause, a market leader in the Corporate Social Responsibility software, and our ability to move fast on back office integration is enabling the team to further differentiate our solutions from the competition. As Corporate Social Responsibility programs are implemented around the world, it’s becoming increasingly important for companies to have acute local knowledge in the countries where employees are assessing the programs to remove any functionality barriers. Just last week, we announced an expansion in the YourCause global footprint by developing in-market partnerships to advance employees getting nonprofit support globally, while also implementing key product features for universal functionality. For example, our partnering with GiveIndia, India's largest and most trusted giving platform, YourCause and the employees they support worldwide, will now have access to GiveIndia’s network of nearly 1,000 verified nonprofits in India alone, which ensures employees are donating to vetted organizations. Our total addressable market currently stands at over $10 billion and we remain active in the evaluation of opportunities to further expand our camp through acquisitions and internal product development. Our final strategic initiative is to focus on operational efficiency to strengthen the business and position us to long-term success. This continuous effort spans the entire organization as we drive towards a more scalable operating model that creates efficiency and consistency in how we execute through infrastructure investments, productivity initiatives, and organization alignment. For example, we are now selling a portfolio of modern cloud solutions, which is driving a shift away from one-time services, as we reduce the hours needed for implementation and integration of our solutions. In order to effectively scale as we continue to grow as a company, we've been building out our partner ecosystem, which includes partnerships to implement our cloud solutions. We've made significant progress building out this program in 2019 and look forward to continuing the effort in 2020. Overall, I am pleased with our execution through the third quarter and we're focused on maintaining our momentum heading into the fourth quarter of 2019. We're continuing to execute against our strategic plan, which is strengthening the business and enabling us to deliver greater innovations for our customers. I'll now turn the call over to Tony to cover our financial performance in greater detail before we open it up for Q&A. Tony?
Tony Boor: Thanks Mike. Good morning, everyone. Please refer to yesterday’s press release and the investor materials posted on our website for the full detail of our Q3 financial performance. Today I'll focus on key highlights so we can get to your questions. Recurring revenue increased 8.6% over Q3 of 2018 and 5.6% on an organic basis. We posted solid recurring revenue growth for the first three quarters of the year and anticipate carrying that performance through the end of 2019. We continue to see a healthy shift in mix as recurring revenue represented 93% of total revenue in the third quarter. As you know, we now have one global compensation plan for our salespeople that puts an increased focus on driving recurring revenue bookings. Through our sales effectiveness programs, we continue to focus on opportunities to further shift our bookings mix towards ARR to optimize the mix of business within the ARR bucket, ultimately incenting and prioritizing offerings with the best economics. One-time services and other revenue represented only 7% of our total revenue mix and declined nearly $5 million in the quarter, which is a 24% decline versus Q3 of 2018. Through the first three quarters of 2019, one-time services and other declined 22% compared to the year-to-date 2018 and we still anticipate the rate of year-over-year decline to accelerate to roughly 25% for the full-year 2019, which is healthy for the long-run. I'll remind you that last year, one-time services and other declined 17%. Turning to profitability, our third quarter gross margin was 59.5%. We generated operating income of $37 million, representing an operating margin of 16.5%, and diluted earnings per share of $0.56. Our third quarter operating margin performance is inclusive of strategic investments to further expand our selling footprints, bring new solutions to market, and our shift to third-party hosting. The investments we're making in the R&D are delivering tremendous value for our existing customers and we've created entirely new product opportunities in our higher education and faith verticals. The investments in the sales and marketing are improving our ability to scale, increase our selling footprint, and position us to drive future growth. And as Mike mentioned, we've seen early traction building out our partner network, including third-party implementation partners. We're planning to continue these high investments through the end of the year. With three quarters behind us, we're positioned to land within our full-year guidance for operating margin of 16.7% to 17.2%. Given our planned pace of investments and incremental costs associated with the growth of our partner program, we're anticipating coming in towards the low-end of our guidance range for operating margin. Moving to the cash flow statement of balance sheet, our Q3 free cash flow was $63 million which puts us on track to deliver our full-year guidance of $124 million to $134 million. We continue making necessary innovation and infrastructure investments to support our move to the cloud amounting to $3 million in CapEx primarily associated with our global workplace strategy and investment in infrastructure, and $11 million for capitalized software development. During the quarter, we paid out $6 million in cash dividends to shareholders and ended with $474 million in net debt. Our capital strategy calls for a debt-to-EBITDA ratio of less than 3.5 times and at the end of Q3, we stood at just under 2.5 times. In summary, we continue executing against our strategic plan, which is allowing us to strengthen the business and reiterate our full-year financial guidance. We're maintaining our disciplined approach to balance investments that drive growth with improved profitability. And we will continue to execute on our capital deployment strategy to maintain a strong balance sheet, return capital to shareholders, and create growth and scalability. With that, I would like to open up the line for your questions.
Operator: Thank you. [Operator Instructions]. We will now take our first question from Brian Peterson from Raymond James. Please go ahead.
Brian Peterson: Thanks gentlemen. Congrats on the quarter. So maybe just start-off on the sales hiring. It looks like you're through some of the structural changes so far this year. Curious where you are in terms of your hiring plans so far or what should we expect maybe in the fourth quarter as we think about 2020, anything or any commentary you can make on the magnitude of the sales and marketing investments?
Mike Gianoni: Yes, we continue -- it’s Mike, Brian. We continue to hire in the sales and that's going to continue for a while. We're kind of moving toward a continuous hiring model, if you will. It's going to be a little lumpy this year like it was last. But the plan is to move more toward a continuous hiring model going forward, so same plan.
Brian Peterson: Got it. And maybe a follow-up, Mike, just on the SKY architecture. I know with the faith-based offering now generally available, curious how you're looking at some potentially new markets in any appetite versus build versus buy? Thanks, guys.
Mike Gianoni: Yes, sure. So the SKY engineering platform just gets better every month, every quarter given all the engineers that are contributing to the base engineering system. Church Management platform is now in general availability, and a lot of customers in implementation right now. We're not looking to build a new vertical market solution today, because we have enough place to execute in both the education management and higher-ed and in faith-based, and those are both going quite well. But I think your question was also related to build versus acquired. We're still and always are sort of in the market, looking for tuck-in opportunities. That makes sense in the vertical markets out we're in and with this engineering platform now, we are in a much stronger position to build versus just to buy, as we demonstrated in the faith-based marketplace.
Operator: We will now take our next question from Tom Roderick from Stifel. Please go ahead. Your line is open.
Unidentified Analyst: Yes, hi, Matt Bentley [ph] on for Tom. Thanks for taking my questions. I guess following-up on that last question as you look at the opportunity for the Church Management products versus something like the higher-ed where a little more organic and adjacent build out from what you've been doing in the K-12 market and your historical some penetration in the higher-ed market. Tony, just curious on how each of those products can sort of flow into the model as we look out into the fourth quarter and more importantly out into the next couple of years. What kind of build in terms of revenue waterfall are you expecting? How quickly can this ramp-up and be pretty significant contribution?
Mike Gianoni: Yes, Matt, it’s Mike, Tony follow if you want to. So the build out in higher-ed and faith are a little different, but not that different. So we took our K-12 operating platform, if you will, and moved it up to the higher-ed. It's been very successful than K-12 and that’s for that whole program is going well. In the faith-based market, we did build Church Management, net new on the engineering platform. But we already had a presence in fundraising and financials in the faith-based market and this is connected to an extension of that. So we've gone from fundraising and financials over to the operating side in faith-based. Both of those will just continue to build, we're selling in market, we're implementing both. We announced general availability for the Church Management platform. I mentioned in our investor session at our conference bbcon couple of weeks ago, we have over 70 customers right now in implementation on the Church platform. We continue to sell every week, every day, build those platforms. And we anticipate the continued build of that reoccurring revenue from those platforms in subsequent years moving forward. Now, it does take a while for that to happen. But we're pleased with those launches and the presence and the reception in both those markets.
Tony Boor: And Matt, maybe I'll follow-up on your waterfall question. I think that both of those new products, the new entrance per se, both at higher-ed and Church, it'll take a little bit of time to build out our footprint in those markets. We've done a good job I think of getting a good base sales and marketing team and investment and awareness built in both of those markets. We just, as Mike said, announced general availability of the Church One, so little further ahead there. We will continue to ramp sales and marketing investments in both of those, think of a both as startups and expect what we'll see as we get both of those G-aid is some good traction on bookings, although a very small base in 2020, and more of that start return into revenue as we go into 2021. And that'll kind of align with our sales and marketing investments both building territories, pipeline, et cetera and then turning those into bookings, bookings ultimately into revenue.
Operator: We will now take our next question from James Rutherford from Stephens, Inc. Please go ahead.
James Rutherford: All right, thanks. Hey, Mike, hey Tony thanks for taking the questions. I was hoping to dig in on the gross margins a little bit. Tony, you have seen some year-over-year compression here for three quarters in a row, I believe. Can you just enumerate some of the main drivers of this and give us an idea how long these headwinds might persist?
Tony Boor: Sure. I think the largest; this is one we've been talking about for a couple of years now, which is our move to the cloud. That one's going to continue to push down on margins for the -- at least for the foreseeable future as we migrate out of all our colo data centers into the cloud. There's a slew of just complicating factors as we make that transition, you have licensing issues and other things that we have to deal with. But as we get out of the old products, complete rewrites on NXT and some of those others, it will free-up some costs. And then as we get out of the colos, turn off those networks and those rigs and data centers themselves, you'll free-up costs. So I'd expect we'll see kind of this increased pressure at least the next two or three years with it starting to lighten after that. The other two things that are hitting us is software amortization, just with all the innovation we've done over the last few years, the amount of amortization is increasing. So that's putting a little bit of downward pressure and that will continue for the next couple of years as well, till that plateaus. And then more recently in the quarter, as we started to build-out partner networks more fully, we actually started utilizing implementation partners in the last couple of quarters. And you can see that in the one-time and other margins has put some pressure there from using those third-parties, which is great for the long-term we will have some near-term pressure on our gross margins. We will look at those models; potentially start shifting some of that on to their paper, as we determine we've got partners that we can trust to work with on that front, but that's something that will be a little bit of a moving target as well. But those are the three major drivers on margin pressure and they'll continue for the -- at least for the foreseeable future.
James Rutherford: Got it, helpful there. And then a follow-up to that question would be on the payments business and whether it's generally how that business is doing and if that's affecting, if that mix towards payments is affecting the gross margin line as well? Thank you.
Tony Boor: No, not right now. Payments is kind of running right in line with expectations. You recall we built a much more robust forecasting tool for that payments business coming into this year. And that's worked really well. We're right on track. Obviously, year-end is always a wild card. Tax reform from last year, those kind of things, what happens around Giving Tuesday, Christmas season, all those pieces. So still yet to see what happens here in the fourth quarter but year-to-date, we're kind of right on track with expectations. The mix has not changed significantly. So that's not really having an impact on the gross margins.
Operator: We will now take our next question from Rob Oliver from Baird. Your line is open. Please go ahead.
Matt Lemenager: Great, it’s Matt Lemenager on for Rob Oliver this morning. I had a question around larger deals; one of the nice differentiators of Blackbaud is the ability for a nonprofit to go end-to-end speaking about tools from top of funnel, marketing to fundraising to payments, and I guess all the way down to financial edge. So just I'm wondering if you can update us even if it's qualitatively how larger deals have tracked this year, perhaps how the pipeline looks for the fourth quarter and the importance of large deals. If that's the -- I guess prime time for those larger deals to come. Just any update around larger deals, even if it's qualitatively?
Mike Gianoni: Yes, sure, it’s Mike. We are continuing to do quite well with large deals in a lot of different markets. A few of the earnings calls going back, I had mentioned and we've got some press releases on large deals in the K-12 market with large K-12 private schools. I've mentioned universities in the large deals we've gotten with universities. And now we've expanded our portfolio with universities and includes the new education management platform. So the opportunity is there. And it's happened with larger ASP deals, the University and the University market as well, because we're servicing the whole school, not just the foundation. The same is happening in the in the faith-based market as well, where we're seeing the opportunity to sign contracts that cover tens or sometimes hundreds of churches or schools where typically we’ve sold one at a time. And so we're seeing medium and large deals in multiple marketplaces, including in our international business as well.
Operator: We will now take our next question from Rishi Jaluria from D.A. Davidson. Your line is open. Please go ahead.
Rishi Jaluria: Hey, guys, thanks for taking my questions. Couple product or two product ones, first wanted to start on the higher-ed side, maybe help us understand when you're getting these deployments, what is it that you're replacing? Is it home-grown systems? Is it kind of a combination of 10 different point solutions that now you can come in and have one broader suite of solutions that does everything? And from like a portfolio perspective is everything kind of all the pieces in place there to be successful in higher-ed or are there still kind of areas in the higher-ed portfolio that you want more products to maybe round out that portfolio, be it internally developed or acquired, and I've got a follow-up.
Mike Gianoni: Sure, this is Mike. So in higher-ed, sort of a repeat of a story that's been quite successful for us in K-12 where we have a big presence now in higher-ed and the foundation in fundraising and in scholarship management, and financials and we've now expanded that to the operating side of the school student enrollment and classroom scheduling and student information system. So it's a whole portfolio. So that covers most of the major departments and university, we are starting with smaller universities, there are several thousand of them. And we also have cross-sell opportunities because in a lot of them, we have a fundraising or financial footprint. And so we're starting with smaller universities and we're going out to that market. The product is pretty advanced because again it is the same product that's been in K-12 for years. And we've taken over two years and added a lot of capabilities for the higher education market that also includes tuition management as well, which is new for us in the higher-ed market. From a competitive standpoint, we see some legacy competitors out there mostly license type installations. There's some home-grown point solutions as well. And again, at the macro level, it looks a lot like what we've been doing in K-12.
Rishi Jaluria: Got it, that's helpful. Thanks Mike. And then on the Church Management side, look I think this is one of the bigger organic new product adoptions that that at least I've seen in a very long time. I will just understand kind of your expectations and sort of what the ramp looks like, this is clearly a big market opportunity going after but maybe just want to understand your expectations for an adoption curve, and maybe when could we expect this to be incremental to the top-line? Thanks.
Mike Gianoni: Sure. So again, it's a full-cloud for that marketplace that that goes across the operating components of the Church. It's across more than 10 denominations. So it's a big market. We're talking to churches of all sizes, it scales up. We've priced it. So it scales sort of up and down based on institution size, it also scales when we talk to an institution that is an assembly of many churches. We also have a new mobile app, Mobile Mission, which is a mobile app for secure donations are tied in that market offerings from a global standpoint that’s integrated into the core SKY center capabilities. So we're really excited about this marketplace. In our opinion haven’t been any innovations in the space in a long time. And in the contracts we're signing, we are replacing a dozen or so single-point solutions with a little single log on modern cloud. We have live customers; we have a lot in implementation. And this will just continue to build and build. We have marketing efforts that are new in the space. We've had fundraising and financial customers on the stage for a long time, but we're not that well known in that marketplace. And so we've got some marketing spend happening there in areas like lead gen and digital footprint and conferences, which we started about a year-ago. So we think there's a long runway here and we're doing it right by building referenceable customers with a scalable high quality modern cloud platform.
Operator: We will now take our next question from Ryan MacDonald from Needham & Co. Please go ahead.
Ryan MacDonald: Yes, good morning Mike and Tony. Thanks for taking my questions. Mike, I guess first one for you. Can you talk about the -- what are the drivers of the YourCause international expansion was? Is this an area where you think that the domestic market is perhaps maturing quicker than expected? Or are there just a number of opportunities of customers wanting to pull you internationally to expand their efforts in this area?
Mike Gianoni: Sure. So the YourCause acquisition was completed January and we remained super excited about that space and that business. It continues to grow nicely. We continue to sign up a lot of customers, it’s a big backlog and implementations that we're driving, we're adding to sales headcount in geographic regions. The international expansion is just sort of the natural next step. We are already international, platforms already international. But our large customers have international footprints. We've got over 100 customers on the platform that are Fortune 500 companies. And so they need that international support. So we've been driving sort of a localization model here through both product functionality and partners in market. I think we mentioned a couple of partners. One in Canada, CanadaHelps.org, Charities Trust in the UK, and a new partner in India called GiveIndia, and it's sort of a combination of our sort of focus on expanding internationally, organically, and helping our large customers and perspective large customers have a really solid international footprint.
Ryan MacDonald: Got it. And then just a quick follow-up for Tony. You mentioned that during the bbcon that less than half of the direct sales reps were on full-quarter for 2019. Can you give us a sense on what that progression looks like as the sales reps are ramping to full productivity and perhaps what expectations are for percent of reps that will be on a full quota into next year?
Tony Boor: Yes, Ryan. We talked about at the investor session that going into this year, in January; we made kind of the last big organizational change, which is reallocated a lot of overlay and associate account exec roles into full bag carrying sales roles. And so that created a lot of what we would look at attrition, we look at attrition both external. Do I lose the employee, the salesperson to another organization? But also do they have territory change or did they change roles? And so, going into this year with that large reallocation of the workforce, we anticipated much higher overall attrition and territory for the team. We've tracked kind of right in line with those expectations. And what that resulted in then is what we call is productive full-time equivalent sales reps that we have significantly less fully productive reps because they were re-ramping in their new role or new territory. It takes depending on the role, it takes somewhere between six to nine months, 12 months probably on the outside to ramp to full quota. We made those changes largely in the first part of the year; we would have had some other attrition that resulted from all those changes kind of mid-year. So I'd expect when you look at it in the whole, we will see a nice pretty significant increase in productive FTEs exiting the year probably continues through the first quarter before we get through all of this transition that we had this year when you think about that six to nine to 12 month transition period. So I think by the time we get to Q2 all this disruption we had this year for the last big organizational change should be behind us. And then we're really dealing with just normal attrition, which we're trying to make sure we don't create any more of that internally than we absolutely have to. And then obviously, trying to control the loss of our employees going to third-parties, which we've been able to do a pretty good job of compared to peers. So I think we'll see a much lower overall attrition in 2020 than we saw this year which should bode well for productivity and productive reps as well.
Mike Gianoni: Yes. I'll just add to that, we're not standing up a new vertical market either. So the most recent one we created was the faith-based market. If you go back five years to today, we had no vertical markets. And today, sales are organized in our vertical markets, K-12, higher-ed, healthcare, arts and cultural foundations, faith-based et cetera and they're dedicated to the markets. And what we've seen happen is it deals significant presence in those markets. And they're all very different. Conferences are different, language is different, competitors are different and as we build muscle with each of those markets, we become a lot more competitive. But it's caused some disruption in sales productivity when you move folks around. But when they settle into the market and they get some tenure in the market, you see productivity go up, and our ability to have a bigger presence go up in those markets. So to add on to what Tony said is we are not standing up a new local market. We're settling into the markets that we're currently in and we have already stood up.
Operator: We will now take our next question from Kirk Materne from Evercore. Your line is open. Please go ahead.
Kirk Materne: Yes, thanks. Maybe I'll just start actually with a follow-up for Tony on that last question about sort of productive sales reps. I know you guys called out in fact there's a lot of moving parts this year, I guess just the reps that have been put in seats or been there for six to call it nine months or even six months. It was the kind of pipeline build you're seeing in line with expectations meaning you obviously have a lot of investments in the sales reps, is the pipeline meaning has the investment sort of matching up to what you hope at least in terms of pipeline build because they obviously need a pipeline going into next year if they're going to be productive?
Tony Boor: Yes, Kirk we -- I think we got this question talking about a little bit maybe at the investor sessions as well. But we've seen pretty good productivity in pipeline build; we measure kind of that ramp across many different metrics. Are they getting up leads generated is pipeline building, is pipeline moving to close? Are they closing deals, all of those we've got a really robust process around that to measure it. And we've been doing really well. There's been a couple of areas that have been a little bit soft; one was just waiting for the product release in the faith market. Now that we have general market availability, we believe that traction will increase significantly there. And then one of the other areas we created a new role, we've never had which was a prospect rep. That was kind of telesales. And they were again largely in the faith-based market because we didn't have general availability of the product, they were having a little tougher time ramping prior to that, with that market launch, I think we'll see that pick-up significantly. But everywhere else, kind of track and right expectations, which would be what I would expect because we built the ramps for that based upon our historical performance. And so we would have had to go backwards if we wouldn't have been in line with those ramping expectations.
Kirk Materne: That’s helpful. I appreciate the color. And then just maybe Mike as you head into next year, obviously you’ve Church Management now, you’ve a pretty broad suite of products, I guess what's just sort of your thought process on M&A versus just kind of focusing on the suite of products you have already. You guys obviously added there from a TAM perspective, but I imagine can at times be disruptive from service sales perspective, you're adding new products to someone's bag. So I guess just how are you kind of balancing that kind of thought process these days as you head into 2020?
Mike Gianoni: Sure. It's been a key part of our strategy. Since I came, which is to have TAM expansion in our vertical markets, there's still more opportunity to do that without standing up a new vertical market. We don't cover 100% of the IP spend in every market that we're in. So it still represents opportunity for us. It's something that we're actively involved in just given all the transactions that happened in the software world. People know, we're an acquirer of vertical software companies and so we will continue to be active and look and learn and we can expand TAM in the vertical markets we're in and so it's not something that's -- that's ultimately required for us to hit our objectives. But we focus on how do we fill the needs of our customers? How do we create an environment where our current solutions are stickier and integration at the end of the day wins for a lot of our customers and our cloud solutions and so it's still an active area for us and we remain active in that part of our business.
Operator: As there are no further questions in the queue, I would like to turn the call back over to Mike Gianoni for any additional or closing remarks.
Mike Gianoni: Thanks, operator. I'll just close by saying; I'm pleased with our execution through the third quarter of the year. It’s clear our progress we've made is having a major impact on the individuals that use our solutions every day. I'm excited about the advancement of Church Management, our higher-ed platform, and what’s happening with YourCause. These investments we're making will ultimately create lasting value for our customers, employees, and shareholders. Tony and I look forward to updating you on our progress on the next call. Thanks, everyone.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.